Operator: Good day, and welcome to the Veeco Instruments First Quarter 2015 Earnings Call. Today's conference is being recorded. And at this time, I would like to turn the conference over to John Peeler, Chairman and CEO. Please go ahead, sir
John R. Peeler - Chairman & Chief Executive Officer: Thank you, Operator. Joining me today is our CFO, Sam Maheshwari. In addition, I'm pleased to introduce our new Vice President of Investor Relations, Shanye Hudson. Shanye, joined Veeco on Monday, having most recently served as Head of Investor Relations for Riverbed Technology. Prior to that, she was Senior Director of IR at Lam Research. In addition to being an accomplished IR professional, Shanye has an engineering background, starting her career at Texas Instruments and Varian Semi. Sam and I are excited to have Shanye on board and we expect that many of you already know her. We look forward to her getting out to meet you in the very near future. As her first order of business, I'll turn it over to Shanye to read our Safe Harbor statement.
Shanye Hudson - Investor Relations: Thank you for such a gracious introduction, John. I'm very excited to be on board. Today's earnings release is available on the Veeco website. Please note that we have prepared a slide presentation to accompany today's webcast. We encourage you to follow along with the slides on veeco.com. This material is being recorded by Veeco Instruments and is copyrighted material. It cannot be recorded or rebroadcast without Veeco's express permission. Your participation implies consent to our taping. To the extent that this call discusses expectations about market conditions, market acceptance and future sales of the company's products, future disclosures, future earnings expectations or otherwise makes statements about the future, such statements are forward-looking and are subject to a number of risks and uncertainties that could cause actual results to differ materially from the statements made. These factors are discussed in the Business Description and Management's Discussion and Analysis sections of the company's report on Form 10-K and Annual Report to shareholders and in our subsequent quarterly reports on Form 10-Q, current reports on Form 8-K and press releases. Veeco does not undertake any obligation to update any forward-looking statements, including those made on this call to reflect future events or circumstances after the date of such statements. During this call, management may address non-GAAP financial measures. Information regarding such non-GAAP financial measures, including reconciliation to GAAP measures of performance, is available on our website. With that, I'll now turn the call back to you, John.
John R. Peeler - Chairman & Chief Executive Officer: Thanks, Shanye. I'm pleased to say that Veeco hit our targets. Bookings were $102 million as anticipated after a strong Q4. Revenue was $98 million, near the high end of guidance. Gross margins were at the high end of guidance at 38%. Our EBITDA was a positive $2.7 million, we drove EPS ahead of guidance, while cash was stable. Overall, a solid performance to kick off the year. Sam will fill you in on the details.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Thanks, John. I would also like to welcome Shanye to Veeco. With a deep semiconductor capital equipment background I know she will ramp up quickly on our business to be an asset to Veeco and helpful to all of you. I will be talking about non-GAAP results for the quarter and a detailed reconciliation between GAAP and non-GAAP results is provided in the press release, as well as posted on our website. I'm pleased to report that Veeco delivered at or above the guidance range for all metrics for the first quarter of 2015. Revenue was $98 million, a decline from Q4, but ahead of the guidance midpoint. Shipments for the quarter were higher than revenue. As expected, we shipped a number of EPIK Systems in the first quarter. Revenue for those systems was not recognized in Q1 as per the usual accounting practice for new products. As a result, EPIK deferred revenue increased by $25 million in Q1. This will largely be recognized during the remainder of 2015 as we receive final signoffs from the customers. Non-GAAP gross margin was 37.7%, a slight decline from Q4, but at the top end of our guidance range. Gross margin declined from Q4 due to significantly lower business volume offset by a positive change in the product mix sold. We maintain our focus on driving down manufacturing costs through supply chain management and other initiatives and expect to see further improvement in gross margin towards the end of the year. We're seeing improvement in margins on the deals that are currently being booked, which would flow through the P&L in six to nine months. This nearly 38% gross margin combined with efficient spending controls and a lower than expected tax provision contributed to a non-GAAP diluted loss per share of $0.01, beating the top end of our guidance by a handsome $0.06. Adjusted EBITDA of $2.7 million was also ahead of the top end of the guidance range. Non-GAAP operating expenses declined from the previous quarter even though we absorbed full quarter of expenses from the PSP acquisition. We are clearly realizing the full benefit from expense reduction activities announced mid-year in 2014, which have now been fully implemented. R&D ticked down a bit in the first quarter due to receipt of certain engineering credits, as well as delay of certain project material related expenses into Q2. Now, turning to market data. Starting with this quarter, we will provide our bookings and revenue data by the following four markets: lighting, display, and power electronics; advanced packaging, MEMS and RF; scientific and industrial; and data storage. We cross-sell our products into multiple markets and believe that these end markets will give you a better visibility of our business. These charts can help you track our performance on a quarterly basis going forward. Historical revenue trends for 2014 is provided in the backup section of today's presentation material. We anticipate future growth from the lighting, display and power electronics market, as well as from the advanced packaging, MEMS and RF markets. Note that the data storage number as reported here is much smaller than previously disclosed under the Data Storage segment as a meaningful amount for our Ion Beam Etch and Ion Beam Deposition product are actually sold to markets like scientific, industrial, MEMS or RF. As you can see from the chart on the upper left, lighting, display and power electronics, which is primarily MOCVD, made up nearly 60% of our $102 million in bookings with the remaining 40% split fairly equally among the other three end markets. While we continue to expect MOCVD booking pattern to fluctuate, we are seeing a general upward trend in orders in that business. Demand for MOCVD products continue to strengthen and there were no order cancellations in the quarter. Lead time for delivery are stretching and pricing is improving as well. On a geographic distribution basis 45% of our first quarter revenue came from customers in China, largely related to MOCVD sales. We continue to see strong demand from customers in that region who are either facing capacity constraints or anxious to monetize the government subsidies. The total company book-to-revenue ratio for Q1 was slightly above one and the total backlog at quarter end was $289 million. Now turning to the balance sheet; Q4 cash flow from operations was $4 million and the quarter ended with $393 million in cash and investments. Overall, the cash balance was stable from Q4. Quarter-over-quarter, our AR balance increased slightly and the decrease in inventory is related to the start of shipments of EPIK700. Accounts payables increased as we efficiently managed our expenditures for the quarter. Now turning to guidance for Q2; we began shipping production EPIK systems at the beginning of this year. We are confident that Veeco will generally be able to migrate to a revenue upon shipment model for EPIK sometime in Q2. This would then allow us to start taking revenue upon shipment of the subsequent tools. However, the exact timing for this cut over is somewhat fluid. Given the circumstance, we're issuing a Q2 revenue guidance range of $100 million to $150 million, which is wider than our historical practice. Actual results will depend upon the timing of this revenue cut over with an inverse effect on the deferred revenue. At the low end of $100 million in revenue, Q2 EPIK deferred revenue is expected to be $65 million. Conversely, at the high end of $150 million in revenue, deferred revenue is expected to be $25 million. Q2 non-GAAP gross margin is expected to be 36% to 39% range. There are a few factors impacting our near-term gross margin performance, including a large volume purchase from a single customer with higher discount. Also as is consistent with new product introduction, gross margin drags a little bit until we reach critical scale with EPIK. While these factors will prevent gross margin from reaching 40% in Q2 and likely Q3, we reiterate our expectation to achieve gross margin of 40% or more by the fourth quarter of 2015. OpEx is expected to be in a range of $39 million to $42 million commensurate with higher revenue. Incentive compensation, commission as well as R&D expenses are expected to be higher in Q2. I want to remind everybody that these are non-GAAP operating expenses and exclude equity compensation non-recurring items and intangibles amortization. Non-GAAP tax rate is expected in the 18% to 20% range for 2015. Q2 non-GAAP EPS is expected to be negative $0.06 to a positive $0.33 per share. Adjusted EBITDA is expected between breakeven and $20 million. Based upon strong EPIK momentum, we expect that new orders will grow sequentially and Veeco's total orders for the second quarter will be higher than $140 million. With that, I will turn the call back to John for a business update.
John R. Peeler - Chairman & Chief Executive Officer: Thanks, Sam. LED lighting adoption continues to accelerate and the real question is how fast it will happen. In 2014, LEDs were 5% of lighting unit shipped on a global basis. Market research firm IHS forecast LED unit shipments to grow to be about 18% of total lighting units in 2018 and 35% by 2022. Strategies Unlimited is more bullish, expecting 28% unit shipments in 2018 and over 50% by 2022. In either case, there's a lot of demand to satisfy. Our estimate of LED lighting adoption lies between the IHS and Strategies Unlimited forecast and translates into a 43% compound annual growth rate on top of the more traditional segments of backlighting, automotive, and signage. In addition to this, we're seeing the unique characteristics of LEDs create exciting new growth opportunities. For example, in indoor agriculture where the ability to vary the day night cycle in spectrum can accelerate plant growth by 250% and create high quality food products with minimum water usage. Another opportunity is off-grid lighting to bring solar powered LED lights to areas with no infrastructure such as India, China, and Africa with LEDs replacing inefficient alternatives. And in education, where there are 2.5 million schools in the world, LEDs have the potential to change the lighting in different periods of the day to increase learning effectiveness. When we add it all up, we expect the unit growth in LEDs of approximately 21%. Although the end market will grow 21%, the MOCVD market growth will be lower than that. Yield and brightness improvements will lower the MOCVD total available market while increased services, upgrades, spare parts and replacement of older tools will mitigate that reduction. The net result is that we expect the MOCVD dollar TAM for the LED market to have a CAGR of approximately 15% and reach nearly $1 billion by 2019. It's likely that there will be some cyclicality but there is still very good growth ahead. The near-term trends are even more favorable for Veeco. LED company earnings results continue to prove that those companies that can make mid-power LEDs at the lowest cost will win in lighting and our install base and position with market leaders in greater China is extremely strong. Customers want the flexibility to move up to larger wafer sizes, to lower their backend processing costs and they want tools that can run reliably for long campaigns between maintenance and cleaning. The TurboDisc architecture makes changing wafer sizes easy and it can operate with hundreds of runs without expensive cleaning, reconditioning, and downtime. Building on these architectural advantages, our new EPIK700 is doing exceptionally well in the market. All beta customers have qualified the tool and placed follow-on volume orders. Our customers have quickly moved from our K465i and MaxBright platforms to the EPIK700 and nearly all of our shipments to LED customers are now EPIK's. MOCVD orders are expected to be over $100 million in Q2 driving expected Veeco bookings above $140 million. EPIK prices are increasing and are well above the low pricing for our initial high volume order. And lead-times are moving out and we're challenging our manufacturing team to build tools faster. EPIK's a real winner and these are exciting times. Turning to our newly acquired Precision Surface Processing business, I'm pleased to say that it's off to a great start. Growth in smartphones, wearables and other mobile devices are driving activity in MEMS wireless devices and advanced packaging. China is starting to invest big in MEMS. We received orders in the first quarter for a Metal Lift-Off application. We're also seeing significant activity in the U.S. and Europe. Veeco sales team is actively engaged to drive new account penetration, particularly in regions like Korea and Japan where SSEC had limited presence. Taiwanese foundries are also investing in MEMS and we had an important strategic order from an Asian foundry in Q1. In Through Silicon Via applications, we're seeing good opportunities and momentum in customer demos and overall PSP's orders are very healthy with a book-to-bill ratio consistently over one. We have great opportunities in Process Equipment, services for LEDs, power electronics, and mobile devices. In MOCVD, we're shipping products at the fastest rate since Q4 of 2011, booking orders at higher margins and extending our market share lead. Our customers like our products, because they're reliable, efficient to operate, and lower the cost to make LEDs. We expect to shift to a revenue on shipments operating model for the EPIK700 sometime in Q2 and since that timing cannot be accurately predicted, our Q2 revenue has a wide range. Independent of the timing of this transition, we expect second half revenue and profit to be much stronger than the first half and full year revenue growth to exceed 35%. Excited about Veeco's prospects for 2015 and beyond, our business is improving, we've added a new growth driver with PSP, we're satisfying our customers and we expect to have a great year. With that, Operator, please start the Q&A session.
Operator: Thank you. And at this time, we will take a question from Stephen Chin with UBS. Please go ahead.
Stephen Chin - UBS Securities LLC: Thanks. Hi, John and Sam. Thanks for letting me ask the question. My first question is on the wide range for guidance here in the second quarter. Maybe you can further explain the revenue recognition transition on these EPIK tools leading to this large guidance range. I want to make sure I understood what the revenue recognition is?
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Sure. Thanks, Stephen. So the revenue level is really driven by us achieving the revenue-upon-shipments status. And this status is achieved when we have a number of production tools signed off. We are working with our customers to achieve this goal and it is difficult to predict when exactly this will happen as it depends upon customer situation including customer facility readiness, customer technology readiness, and other logistical matters as well. The sooner we achieve this status the higher the revenue or vice versa. From a business perspective this is really irrelevant because we are continuously shipping the product and we are collecting the cash. It is really a timing issue. It has nothing to do with product performance issue, or as I said, it has nothing – it doesn't impact the business situation at all. Hopefully, that answers your question, Stephen?
Stephen Chin - UBS Securities LLC: Yes. Thanks for that, Sam. Maybe my follow-up question is on the EPIK tools John. So you sound pretty optimistic on the EPIK performance, especially with the second quarter guidance for MOCVD orders. So maybe you could share some color on what the customers are saying about the tool and how that ties into some of the order visibility for EPIK? Thanks.
John R. Peeler - Chairman & Chief Executive Officer: Yeah. Well, look, the tools operating very quickly in the field. Part of that and part of how well it's doing is shown by the fact that all the beta customers came back and placed substantial follow-on orders. We received several large orders from other customers and some small orders also. The fact that customers quickly changed who had been buying MaxBrights and 465is quickly changed over to the EPIK is another evidence of how people like it. It has great throughput, great footprint efficiency, the best cost of ownership and it can really run for hundreds of runs between maintenance and reconditioning and those things. It's an order of magnitude better than the competition in that area. So, they recognized a great product and that reception's been extremely positive with really no negatives.
Stephen Chin - UBS Securities LLC: Okay. Thanks, John.
John R. Peeler - Chairman & Chief Executive Officer: Thanks, Stephen.
Operator: At this time, we'll hear from Krish Sankar with Bank of America Merrill Lynch.
Krish Sankar - Bank of America Merrill Lynch: Hi, Thanks for taking my question. I had two of them; I'll ask them both upfront. First, Sam, thanks for the color on the revenue breakdown by region. I'm curious on the rest of the world breakdown, how does that split between Japan and Korea in Q1? And then as a follow-up, you guys spoke about moving to larger wafers sizes for LED. It looks like Epistar is talking about it. Is there actually new tool potential do you think or is it going to be upgrades to the existing installed base for 6 inch? Thank you.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Thanks, Krish, I'll take your first question in terms of the geographic distribution. The rest of the world here for us is really Japan, Korea, Taiwan and Southeast Asia. And as you know we have customers related to LED in Korea, Japan, and Taiwan for sure. And then the customers related to data storage business in Southeast Asia are also in there. So, this percentage, or our exposure to rest of the world could change quarter-to-quarter as we obtain business and ship products to Japan and/or Taiwan or Korea. So, that's really the color that I can provide you on that. I don't know if that's what you were wanting to know or something else.
Krish Sankar - Bank of America Merrill Lynch: That's fine. And then the question on the 6-inch?
John R. Peeler - Chairman & Chief Executive Officer: Yes, so there has been a trend of – first of all in China customer's moving from 2-inch to 4-inch, and then industry leaders in multiple regions working to move from 4-inch to 6-inch. For Veeco that's a very – it's not a new tool. It doesn't enable new tools. The customers want to move up to lower their backend processing costs. So when they move from 4-inch to 6-inch, they get some real efficiencies in the packaging side of the business. It doesn't have a whole lot of impact on MOCVD throughput or efficiency, it's really backend savings that they get. With Veeco tools that's very easy to do, by just really changing the wafer carriers. Now you have to tweak your recipe, and you have to do some other things to be able to run at 6-inch, but it's easy with our tools and our new EPIK is very well proven at both 4-inch and 6-inch. And we'll make that an easy transition for the customers.
Krish Sankar - Bank of America Merrill Lynch: Thanks, John.
John R. Peeler - Chairman & Chief Executive Officer: Thanks, Krish.
Operator: Next question will be from Brian Lee with Goldman Sachs.
Brian K. Lee - Goldman Sachs & Co.: Hey, guys, thanks for taking the questions. I had two. First, Sam, on the OpEx, I was wondering, can you quantify how much quarterly OpEx you're still incurring related to the Synos business? And then what your thoughts are around further rationalizing the spend in that segment and then what is the potential timing for that could be? And then I had a follow-up.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Thanks, Brian. In terms of OpEx related to our ALD business, we are still in the $10 million to $15 range in terms of what we're spending on an annual basis. We had announced expense reduction activities in that area, partially last quarter and we have now completed those. We are excited about this technology and we are working on a number of things there. And as we said last time, you can expect to hear from us towards the end of the year in terms of our progress on ALD.
Brian K. Lee - Goldman Sachs & Co.: Okay. Great. Fair enough. And then John, you suggested, if I heard the numbers correctly, $1 billion MOCVD market by 2019 with a top line CAGR of around 15%. So, I know you're saying it won't be linear but that would imply somewhere around the order of 300 to 400 tool flash chambers in 2016. So I'm curious is that the right way to think about how you are sizing the market opportunity in the next one to two years in that segment?
John R. Peeler - Chairman & Chief Executive Officer: It is – first of all, a couple of clarifications. The billion dollars is revenue, it's – and – or the 15% is revenue CAGR. I think on average, the number of units is 300 to 400 or more. I think the only thing I didn't totally align with you on is 2016 is not exactly clear yet. We think it will be a strong year. We're seeing some indications from leading customers for orders placed later this year that will run into 2016. So, I think other than cyclicality these are reasonable numbers. And it's expected to progress ahead.
Brian K. Lee - Goldman Sachs & Co.: Okay. Thanks. That's helpful.
John R. Peeler - Chairman & Chief Executive Officer: Okay.
Operator: Next question will be from Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank Securities, Inc.: Hi, thanks for taking my question. I guess my first question is on the market share progress you're making, can you talk about over the last couple of quarters have you gained share at any of the customers that your competitor had a strong position?
John R. Peeler - Chairman & Chief Executive Officer: Well, I think if you look at the revenue levels of us and our competitors, you'll see that we did gain share and coming from an overall revenue market share in 2014 of better than 60% to probably closer to 68% in Q1. So, I think we've done very well on market share.
Vishal Shah - Deutsche Bank Securities, Inc.: That's helpful. And then maybe talk about where you think the lead times are today and what's your view of what lead times could do? Also what percentage of your MOCVD orders were EPIK?
John R. Peeler - Chairman & Chief Executive Officer: So, lead times have been moving out. We have a lot of customers that really want to receive units as quickly as possible and are pushing us to send units to them as opposed to send units to others, probably in the six-month range now. And we have been ramping our manufacturing, and as I said shipping at a rate that we haven't seen since 2011. So that's pretty significant. And the – what was the last piece of your question?
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Vishal, I believe you were asking in terms of EPIK sales as a percentage of MOCVD sales?
John R. Peeler - Chairman & Chief Executive Officer: Yes.
Vishal Shah - Deutsche Bank Securities, Inc.: Orders, sorry.
John R. Peeler - Chairman & Chief Executive Officer: Okay. It's mostly EPIK.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Yeah.
Vishal Shah - Deutsche Bank Securities, Inc.: Okay.
John R. Peeler - Chairman & Chief Executive Officer: It's mostly EPIK on the LED side. There are some exceptions where customers need to use a different tool, but it's mostly EPIK.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Yeah. I would like to add that we have been ourselves very positively surprised by the strong adoption of EPIK and as we look towards our second half and in the outer quarters here, EPIK, there is a lot of EPIK in there and that's really good. Compared to where we are talking to you today versus how we were talking to you three months ago, EPIK has really surprised us positively on its adoption.
Vishal Shah - Deutsche Bank Securities, Inc.: That's helpful. Thank you.
John R. Peeler - Chairman & Chief Executive Officer: Thanks, Vishal.
Operator: At this time, we will take a question from Edwin Mok with Needham and Company.
Edwin Mok - Needham & Co. LLC: Hey, thanks for taking my question. So on the orders that you guys talk about, on the MOCVD, actually did you put down – how much of the $105 million (sic) [$102 million] (30:54) order was MOCVD? If I missed the number I apologize. And then in terms of that order and how you guys think about your – I think you talk about orders go up in the second quarter, is that order now broadening with, previously just one large customer ordering but now you're seeing much broader number of customers are buying either (31:14), increased number of tools, is that where you could give us some color or size of those orders?
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: On your first question, Edwin, MOCVD bookings were about $59 million. If you see on the chart slide number seven 59% of $102 million in booking that is largely MOCVD. And then coming back to your second question in terms of broadening of customers, yes, we are definitely seeing broadening or the widening of the customer base across multiple countries. And we're working with all the leaders and we are seeing order activity with all of them. So, definitely, it's not one customer driven activity.
Edwin Mok - Needham & Co. LLC: Okay. Great.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: And I would like to remind you that one large customer order we booked most of it in Q4, so activity in Q1 and our projected activity in Q2 is from other customers.
Edwin Mok - Needham & Co. LLC: Actually, great. Thanks for clarifying that. And then, on the PSP I was wondering, I remember PSP was highly concentrated in the U.S. when you bought the business, right? How was that change now versus when you bought the business? And how do you think that can evolve as we go through this year?
John R. Peeler - Chairman & Chief Executive Officer: So, PSP was certainly strong in the U.S., but it also had a solid position in other regions including Europe and Asia. I think it had continued to be strong in the U.S. and Europe, and to win deals in Asia, I think we are going to be able to add some value by opening up some new countries in Asia where PSP didn't have a strong sales organization. So, Korea, for instance, is a new opportunity for us to add. So, I think it's going to be a pretty well-balanced business between Asia and the U.S. and Europe.
Edwin Mok - Needham & Co. LLC: Any way you can put numbers around those, may be in terms of (33:31) revenue was?
John R. Peeler - Chairman & Chief Executive Officer: Probably, it's a little too early, we've had it for four months. One quarter plus one month in Q4. So, we'll give you little more color as we get little more time with it.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Edwin, I'd like to add that you know. They are ahead of what our acquisition plans were. So, they are definitely doing good. And we – as John just mentioned, we are opening new doors for them in places that we have a very strong sales channel and that is definitely helping.
Edwin Mok - Needham & Co. LLC: Great. Thank you.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Thanks, Edwin.
Operator: Next question will be from Patrick Ho with Stifel, Nicolaus.
Patrick J. Ho - Stifel, Nicolaus & Co., Inc.: Thank you very much. First on the LED side, John, could you give a little bit of color in terms of industry utilization rates and where there trending and whether, if they continue to keep rising, you could see another step up in orders, sometime later this year or even into early 2016? Can you just give a little bit of color on that?
John R. Peeler - Chairman & Chief Executive Officer: Sure. I think we've seen utilization rates overall tick-up in almost all regions over the last quarter. I think we're at 90% or so in China kind of close to that in Taiwan, probably up three to five percentage points in each of those countries. Korea has come up by a similar amount, probably 85%, U.S. and Europe, probably close to 90%. So, they are high and they have been moving up. It's hard for us. We're pretty comfortable to say that Q2 orders are going to be up significantly from Q1. We do see some significant orders in the second half of the year, but it's hard to quantify it in total. Certainly could happen that they could be larger.
Patrick J. Ho - Stifel, Nicolaus & Co., Inc.: Great. That's helpful. And then, moving to the PSP business, traditionally the strength, obviously, in recent years has been on the MEMS, the power electronic devices. How do you see advanced packaging applications potentially driving that business in 2015 or are we still a little bit early in terms of the TSV adoption, where that could be a bigger growth driver say in 2016 and beyond?
John R. Peeler - Chairman & Chief Executive Officer: Yeah. Well, we've seen a lot of activity in TSV demos and evaluations and interest, and customers looking at a wet process versus a dry process in that. And at least one major customer has told us that they both work well, and we think our process has a significant cost advantage. So, we've got some advanced packaging orders this year already. We're expecting some more. I think 2016 will be bigger than 2015 because it still is a little early in the adoption. And then beyond the advanced packaging, we expect to continue to maintain strength in RF devices, MEMS, and those areas, which we've traditionally had strength in.
Patrick J. Ho - Stifel, Nicolaus & Co., Inc.: Great. Thank you very much.
John R. Peeler - Chairman & Chief Executive Officer: Thank you.
Operator: Moving on to Mark Heller with CLSA.
Mark J. Heller - CLSA Americas LLC: Thanks for taking my question and congratulations on the good results and outlook. I was wondering, you talked about over $100 million in orders for MOCVD in the second quarter and also promising orders for the second half. Can you just talk about where you're seeing most of that order – where those orders would come from? Is it mostly China or Taiwan, Korea, can you just give some geographic color on where those orders are coming from?
John R. Peeler - Chairman & Chief Executive Officer: Yeah. Well, as Sam said, orders have been pretty well distributed across the regions. Clearly, if you look at our business, we've had a very strong business in China for a long time and we expect that to continue to be a major area of strength with multiple customers in China and it's really driven by lighting and mid-power LEDs that are the largest portion of the lighting market. So, clearly that will be the largest region but we see activity in Taiwan, Japan, Korea, Europe, are all opportunities and we expect some reasonable geographic distribution.
Mark J. Heller - CLSA Americas LLC: Got it. And then, I know it's a bit early to talk about 2016, but for 2015, obviously Sanan has a big chunk of the industry's shipments. I'm just wondering, assuming that it's not going to repeat order for next year do you think the industry still grows in 2016?
John R. Peeler - Chairman & Chief Executive Officer: I think there's good potential for growth in 2016. It's too early for us to call that or give you guidance, but we do have customers talking to us now about substantial orders in the second half that would flow into 2016. And so I think, we're going to have a healthy industry in 2016.
Mark J. Heller - CLSA Americas LLC: Thank you.
Operator: Next question will be from Srini Sundar (sic) [Srini Sundararajan] (39:21) with Embric Summit (sic) [Summit Research] (39:22).
Srini Sundararajan - Summit Research Partners, LLC: Hi guys. Thanks for taking the call. Could you help me understand what is the average sign-off period for EPIK? And also how much of the 35% up revenues in 2015 based on product shipped in 2014?
John R. Peeler - Chairman & Chief Executive Officer: Let me take the first one. On the average sign-off period, it's usually three months to six months for most of our products, not just EPIK and it may take a little longer for a new product. But that's pretty typical. The things that can impact that are, is the customer's fab ready and do they have everything prepared? We've had some cases where that's taken a little longer than expected. But three months to six months is typical, and I'll let Sam answer the second half.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: So, thanks, Srini. On the second question, there would be very little revenue in 2015 from product that was shipped in 2014. It would be more than zero, but it would be very, very minimal, maybe $10 million, $15 million at the most. I just don't remember that number, but that is not at all a driver for 2015 performance.
Srini Sundararajan - Summit Research Partners, LLC: Okay. Thank you. As a quick follow-up, could you tell me how you get to the high end of EPS? My back of the envelope calculation found that's a little bit wanting. And second part of the question, would you – given that you're doing better now, would you consider a dividend?
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Well, I'll try to answer the second question first. In terms of our cash balance, we definitely have a very good cash position. About $220 million of that cash is kept in foreign locations. But that said, if you look at our performance, we have been cash flow positive for many quarters here, and so I would agree that we do have some excess cash and we continuously evaluate our alternatives for deploying this cash, and as it comes down to practical matters for us, there really are two choices. One is to return the cash back to shareholders through buyback program or deploy the cash for additional M&A. As such as of now, we do not have any buyback program approved by our board otherwise you might have already heard about it. And to give you some idea on the M&A side, we do have an active M&A program and in our M&A funnel there are opportunities that look good. So both those choices are very valid choices and we discuss with our board and as and when any decision is made you would know about it. And then, remind me what was your first question, Srini?
Srini Sundararajan - Summit Research Partners, LLC: How do you get to the high end of the EPS? I'm having some problem getting there with the back of the envelop calculations. Perhaps I'm wrong. But, could you give me a little bit more color on behind of the...
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Sure. The way we have done our math on the high end, obviously, gross margin would be higher and then at the same time, you take our range on OpEx and use the tax rate between 18% to 20% – you use the tax rate on the lower side, you would get to the EPS which is the high-end of the Q2 EPS that we are guiding. So, based on as we did our math you can get there on the high-end of the EPS.
Srini Sundararajan - Summit Research Partners, LLC: Okay. Thank you so much.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Thank you, Srini.
Operator: At this time, we'll hear from David Duley with Steelhead Securities.
David A. Duley - Steelhead Securities LLC: Yes. Thanks for taking my question. Earlier talking about the revenue recognition of the MOCVD tool and the new tool, how that can – the book and ship is sometime in the Q2 is the cutoff, maybe you could just clarify things and help us understand what the shipment levels have been over the last few quarters or what they're going to be going forward as that's much more relevant than this timing of when the revenue – when it hits the revenue?
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Thanks, David. Sam here. We typically do not disclose our shipment numbers but I will nonetheless try to answer your question. If you look at other revenue range for Q2, we're providing – indeed we are providing a wider range $100 million to $150 million, but at the same time, we're providing a deferred revenue range of $65 million to $25 million. So, $65 million is product that is shipped in Q2, but could not be recognized for revenue. So, if you add the two up, you're looking at $165 million in shipment on the low end and if you take $150 million in revenue and add $25 million of deferred revenue, you're looking at $175 million in shipment. So, a crude math without disclosing the real exact shipment numbers here, what you can see that we're talking about $165 million to $175 million of shipment in Q2 and this is quite an elevated shipment level for us. I do not quite remember an exact math for my Q1 numbers but based on what we disclosed previously for Q1, you could do the math and see where our shipment numbers are. Does that help you, David?
David A. Duley - Steelhead Securities LLC: Yes. And then I have a couple of other questions. As far as the gross margin improvement for the year goes, hitting 40% by year end, what are the key metrics that need to have happened to achieve that target?
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Sure. Great question, David. There are a number of things that are going through our P&L right now. First of all, we're shipping EPIK at quite a high-level and we are ramping the product up. Whereas on the revenue side, all that shipment is not being recognized, so, right now, we're seeing a little bit of a drag in Q2 and Q3, because of product ramp-up. But all this is supposed to work its way through by the time we are in Q4. The second reason is, we took a large volume order from one customer two quarters ago, on which the discount was slightly higher and that business is going to flow through the P&L during Q2 and Q3 timeframe. The margins on that business – that order is a little bit lower than corporate average, and so it keeps our gross margin range bound. The third situation here is that we are making very good improvement. I'm very pleased with the progress we are making on our cost reduction efforts on the material side. Now as you know, we've already obtained lower cost on the material, but it takes some time to flow through the P&L, so by the time Q3 ends the cost reductions will also start to show up on the P&L, and that gives us the confidence that Q4, we would see a significant pickup in gross margin.
David A. Duley - Steelhead Securities LLC: Okay. That's very helpful. Thank you very much.
Operator: At this time, we'll take a question from Mehdi Hosseini with SIG Investment Associates.
Mehdi Hosseini - Susquehanna Financial Group LLLP: Yes, thanks for taking my question. I joined the conference call late, so I apologize in advance if I'm repeating question that's already been asked. Can you please help me understand what is the driving upside to year-end guide, specifically what is the key segment of these that driving most of this upside? Then I have a follow-up.
John R. Peeler - Chairman & Chief Executive Officer: Okay. Well, we had said in the last quarter that we expected to grow over 30%. We've increased that to over 35%. I think there are couple of drivers behind that. Obviously the addition of PSP add some significant growth to the year, but aside from that, the MOCVD business is doing very well and we expect we have a very strong backlog, we're expecting strong additional orders and so that business is delivering some exceptional growth. And then the third factor is in the mobile applications. We've seen good growth in that segment related to RF and MEMS and advanced packaging. So I think those factors in both order trends product success are what are enabling us to push up our overall number for the year.
Mehdi Hosseini - Susquehanna Financial Group LLLP: Sure. That's fair. John, last time you guided to PSP revenue of around $68 million for the year. Your comment, you suggested it's going to be above $70 million. Is that fair? And to that end is it going to be well above $70 million or how should we think about it? Because last time you provided a specific guide for that specific segment?
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Mehdi, I'll take that question even though you're asking John. We guided PSP business to be $65 million for 2015 and we're seeing good order activity there and we expect it to be ahead of that plan. But not much more in the sense our reason to increase our growth for 2015 is largely driven from the MOCVD strength. Yes, the PSP business is doing better than $65 million, but it is not crossing $70 million.
Mehdi Hosseini - Susquehanna Financial Group LLLP: Got it. Thanks for detailed color. I appreciate it.
Shubham Maheshwari - Chief Financial Officer & Executive VP-Finance: Thank you, Mehdi.
Operator: We have time for one more question. This will be from Paul Coster with JPMorgan.
Paul Coster - JPMorgan Securities LLC: Thanks very much. I'm sorry, I was also late to the call so if it's already been asked, apologies. The new EPIK machines that are being sold, are they adding to customers' fleet or are they replacing old equipment? And what's happening to the old MOCVD if the latter is the case? Had one follow-up.
John R. Peeler - Chairman & Chief Executive Officer: They are predominantly adding to the customer fleets and bringing on additional capacity. I think on the other hand we do see customers starting to think more about replacing older units and we do think that over the next year or so that replacement activity will pick up due to the benefits of the new products. And that will help to give us a little bit of extra growth but right now they're adding capacity.
Paul Coster - JPMorgan Securities LLC: Okay. And my follow-up question really is about M&A, is there a unifying vision here, John, beyond obviously trying to promote growth and profitability, do you see yourself at some point becoming a kind of complete solution set for specific industries sectors?
John R. Peeler - Chairman & Chief Executive Officer: Well, I think if you look at the PSP acquisition, it's a good example of what we've been trying to do. In that case, that business was a healthy business with good financial metrics all around, really, gross margin profit and those things. It had a good overlap with our existing customer base and we could bring value to it. So, in the case of PSP, we're able to take those products into some customers where they probably would not have connected with. So, it's a business that added revenue and profit, we could positively impacted and we had a good bit of confidence that we could be successful because we knew the customers in many cases already. Does give us more products to sell to the customer base, but I wouldn't go so far as complete solution. I think that's most of our customers want to buy best of breed products and that's our focus. So, maybe another element of it at least in this sector it serves. We tend to be the number one or number two in each of our markets and we're looking for companies that really have compelling technology, leadership and are going to be the leader in a defined niche. So, not quite complete solution, but partially there.
Paul Coster - JPMorgan Securities LLC: Got it. Thank you.
John R. Peeler - Chairman & Chief Executive Officer: Okay. Thanks, Paul.
John R. Peeler - Chairman & Chief Executive Officer: All right. With that, operator, will wrap up for today. Thank you all for joining us and we'll look forward to seeing you in the coming weeks.
Operator: And again, this does conclude today's conference call. Thank you all for your participation.